Shelly Lair - Vice President and Treasurer: Thank you, Bob. Good afternoon, everyone, and welcome to the conference call. Sorry we're a few minutes late. We've had some technical difficulties with our website address. For those of you joining us by telephone, this presentation is being webcast on the Century Aluminum website, www.centuryaluminum.com, or if that address is not working, you can use www.centuryca.com. Please note that website participants have the ability to advance their own slides. The following presentation, accompanying press release, and comments, include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements relate to future events and expectations and involve known and unknown risks and uncertainties. Century's actual results or actions may materially differ from those projected in these forward-looking statements. These forward-looking statements are based on our current expectations and we assume no obligation to update these statements. Investors are cautioned not to place undue reliance on these forward-looking statements. For risks related to these forward-looking statements, please review Annex A in our periodic SEC filings, including the Risk Factors and Management's Discussion and Analysis sections of our latest annual report and quarterly report. In addition, throughout this conference call, we will use non-GAAP financial measures. Please refer to the Appendix, which contains the reconciliations to the most directly comparable GAAP measures. This presentation, including the Appendix, is available on our website. I'd now like to introduce Logan Kruger, Century's President and Chief Executive Officer.
Logan W. Kruger - President, Chief Executive Officer: Thank you, Shelly. Welcome, everyone, to the second quarter conference call. Other participants include Wayne Hale and Mike Bless, also in Monterey today, is Bob Nielsen and Steve Schneider. Shall we move onto slide four? It's a bit of an overview of this quarter. We've had a strong second quarter for this year. The robust alumina markets continued. The LME average price for the second quarter of 2008 was $2,940 per ton. This is an increase from $2,730 a ton in the first quarter of this year, and $2,765 a ton from the second quarter in 2007. Price support from supply constraints, a weak dollar and rising costs; this is particularly emphasized with power supply and the cost of power worldwide. Our operating income and free cash flow was strong, in the face of cost pressures, as you well know. US smelters are operating well; production is at or above capacity at all our facilities. We completed the termination of the forward sales contracts and Mike will discuss this in some more detail. Grundartangi is producing above nameplate capacity. As you're aware, we commissioned the final expansion last year. We've commenced construction at Helguvik project in the south of Reykjavik, in Iceland, in the second quarter. Our investment in the Chinese anode facility is complete. In addition, the Jamaica refinery project with China Minmetals is moving forward to a full feasibility study. We continue to pursue further growth opportunities and overall we feel good about a strong second quarter. Can we move onto slide five? I'm going to say a few comments on Helguvik; Wayne will obviously deal with some more detail. The construction commenced in the second quarter. We still anticipate first metal in the last quarter of 2010. The likely high-end production range for phase one is about 180,000 tons of metal a year. We expect to pour the first concrete towards the end of the year. And as I said, Wayne will give you some more details. If we move on to slide six, please. The forward curve. Forward pricing indicates strong markets over the medium to longer term. If you look at 2013 today, the price is still $3,300 per ton. Prices in the nearby have been volatile, downside pressure, mainly in concerns about demand, and upside pressure, power issues in China and elsewhere. Capital and operating costs are up globally. Energy, carbon in the form of anodes and others, freight, China buy cost structure and power issues. We know that China's marginal top 10% producers have an average operating cost of about $2,900 per ton. Greenfield and brownfield expansion projects have costs increasing. There is a long lead-time for new projects, particularly in the Middle East, and today's announcement of another project in the Middle East being canceled must be noted. Overall, the supply side is constrained. Growth in China continues to be strong; industrial production 16.2% year-to-date; GDP 10.4% year-to-date. India has also continued to grow at a healthy pace; GDP 8.8% for the first quarter of 2008. Let's move on to slide seven. China is a significant and growing percentage of the fourth quartile of the smelter cost growth. Expensive power contributes to this high cost addition. 5% to 10% cuts were announced by China's top 20 smelters and smelter producers in an effort to conserve power and stabilize the group. This is including Chalco. We think that some 500,000 tons may well be impacted by this and we've continued to look at the lower range of this estimate. The Chinese government continues in discouraging investment in power intensive industries like aluminum. They've changed the taxes. There's removal of preferential power prices and stricter regulations, particularly in the environmental phase. You'll also note the impacts, particularly on the power side today, the announcement of curtailment of coal pricing and coal expansions and export of coal out of ports. China itself is expected to become a net importer of aluminum in 2009. If we move on to slide eight, we anticipate the global market will be in a moderate surplus in 2008. The days inventory remains low, approximately 29 days of global demand. Total demand at year-end is expected to be in the order of 41 million tons of metal. Recently we saw a large buildup in alumina inventories, primarily this is the USA, and is consistent with the sluggish USA demand. The US market remains subdued. Markets are soft with the exception of aerospace. The Midwest premium continues to be in the $0.04 to $0.045 range and this is obviously consistent with historical averages. Europe itself is going sideways. In addition, spot alumina prices are about $458 per ton. As well as for aluminum, alumina is seeing cost pressures, particularly caustic soda, and supply disruptions are supporting the price. In summary, overall the aluminum market fundamentals remain strong, as indicated by the current prices, as well as the forward screen. I'd like to now pass on to Wayne for our discussion on the operations.
Wayne R. Hale - Executive Vice President and Chief Operating Officer: Thanks, Logan. Let's turn to slide nine. Domestic smelters operated well during the quarter in all areas. Of particular importance, the cost of production has been impacted by raw material cost increases, particularly in alumina, energy and petroleum coke. To mitigate, we continue to improve the use efficiency of energy and raw materials and review the use of alternative materials, particularly in the anode coke area. In review of power, I'll leave it over to Mike to discuss that detail later. At Hawesville, the capacity upgrade program is on schedule and in line with projected costs. As I discussed last quarter, in February, Appalachian Power filed for a 16.7% increase in tariff rates in Ravenswood to be effective July 1, 2008. Among others, we participated in a settlement that reduced the increase to 11%. As an ongoing focus to secure long-term power for the company, executives met with government officials and Appalachian Power to review future power options. Progress continues; albeit slowly with the Big Rivers unwind. And I remind you, this is to secure the long-term cost based power for Hawesville until 2023. As one would expect with the involvement of multi stakeholders, all elements of the unwind are reviewed from different perspectives. Several contractual elements remain under review, which will delay the close of the unwind until the fourth quarter. Despite the delay, we remain confident that the unwind will be completed. 15% of the total power requirement remains open over the second half of the year and we're working with E.ON and Big River to obtain preferable market based supply until the conclusion of the unwind. In Iceland, Grundartangi continues to improve. All operating metrics are being met or exceeded. In sustainability, that area [inaudible] health, environment and safety, we continue to see year-on-year improvement in reducing the total number of injuries and their severity. In Hawesville in particular, they worked 2 million man-hours without a lost-time accident, and in Grundartangi, as I talked to you last quarter, continues to improve their injury rate. Let's turn to slide 10, and I'll talk a little bit about bauxite and alumina. At St. Ann Bauxite, the mine tons were impacted by mobile equipment availability and labor negotiation related slowdowns. The UAWU negotiations are continuing and there has been some progress. Culturally, these negotiations do take some time, with little pressure to conclude, as all pay is retroactive. Ship production was affected by ship availability and scheduling, and despite these challenges, customer requirements were met both internally and externally. Looking at Gramercy Alumina refinery, operations continued to improve. All required operating metrics were achieved throughout the quarter. With hurricane season upon us, all necessary preparations have been made at both St. Ann's and Gramercy. Looking at sales and marketing, despite a year-on-year reduction of 3% in the US metal demand, the requirement for our premium products remained strong. Billet in our segmented market is tight, as supply of secondary billet has decreased due to high natural gas costs and the demand for our high-purity is supported by operation problems out of the plants. The Midwest premium has increased quarter-to-quarter due to the higher fuel costs, as Logan indicated earlier. Our finished goods inventories at all facilities remain low. Let's turn to slide 11, and I'll say a few words to update the progress on Helguvik, as indicated by Logan earlier. As you know, this project is still at an early stage and with about 28 months remaining until phase one first metal, we are right on schedule and budget. However, despite these successes, we continue to review cost and schedule to maintain tight control over the long-term. To mitigate, we are also replicating the processes learned while constructing Grundartangi and reviewing alternative sourcing of materials. The construction completion of the project is growing, and is presently at about 32%. In the area of procurement of the 167 equipment packages required for phase one, we have progressed and/or awarded nearly 40. EPCM contract has been awarded to a joint venture between Hatch [ph] and HRV, which as you recall is an Icelandic engineering company who performed the engineering construction for the Grundartangi upgrade. In the organizational area, the key managers have been selected and placed on both the owners and the EPCM teams. They combine the best of Icelandic international resources. The civil work, as indicated by Logan earlier, is progressing for the potline foundations and we expect to pour the first concrete in the fourth quarter of this year. If you turn to the next slide, I've got a couple of pictures here, in both the next two that show what's going on, on the site. Here on slide 12, we see a drill rig on site and basically we're drilling and blasting the basalt there in the area to provide for foundational footings for the potline building. On slide 13, it just provides a panoramic view of the site. You can see a couple of excavators on site, a haul truck, and the project office. So, the project is running and we are making progress and it's nice to see. So now I'll turn it over to Mike, who'll talk about the financials.
Michael A. Bless - Executive Vice President and Chief Financial Officer: Thanks very much, Wayne. And if everybody could turn, please, to slide 14. As usual, I'll make comments referring to the financial information that comes right after the earnings release, so if you could have that available, too, it'll make my comments easy to follow along with. First, to talk about the constituents of the growth in sales. Logan talked about the increase in the LME over the quarter. As he noted, the cash LME was up about 8%, Q2 over Q1. Importantly, if you look at it on a one month lag basis, the average daily LME close was up 17%. That's important to note as most of you know, all of our sales contracts are keyed off of the one month lag price. So our direct sales domestically here, as well as our toll sales in Iceland, all are priced off of one month lag. Just to continue along that theme, our alumina contracts, LME based in the US, obviously from Mt. Holly and Ravenswood, are also priced on a one-month lag basis. The only major contract LME base that we have that's priced off of the prompt month is the power contract in Iceland. So again, that's 17% growth figure is the key one here in terms of the growth in the LME. And if you look at the end of the financial data following the press release, the operations data, if you had a chance to look at that, you'll see that our average realized price is up 17% as well, realized price per ton, obviously. And adjusting for that last bit of cash flow hedges that settled in January this year, as you'll recall, we had 9,000 tons of cash flow hedges that were left in 2009, those were all gone at the end of January. If you pull those out, our average realized price was actually up 15%, quarter-to-quarter, against that 17% market increase on a one month lag basis. Turning to volumes, again, on that operations data that you can see, our direct shipments domestically, of course, were down about 1%, quarter-to-quarter. If you look at our production volume, it's not down there, but our production volume of hot metal was actually about 1,400 tons in excess of our shipped volume. We had a slight build in inventory just due to timing. No other issues than month-end timing, or quarter-end timing, I should say. So if you adjust for that, our production was dead flat quarter-to-quarter, producing at an annualized rate of 533,000 tons, which as you know, is about 1.5% in excess of the rated capacity of our US plants. As you can see again on the operations data, Grundartangi flat quarter-to-quarter, annualized rate of 267,000 tons. We're very pleased with that, as Wayne mentioned. So turning to the income statement data, based on those price and volume data, net sales up 16%, as you can see on an as-reported basis. Again, adjusting for those cash flow hedges in Q1, up 14% quarter-to-quarter. On that basis, $67 million of sales increase, of which obviously more than all, or $71 million was based on the price increase, $4 million reduction in sales based on the slight shipment volume decrease domestically. Proceeding down the income statement, gross profit up $60 million as reported, as you can see, $53 million if you adjust again for that cash flow hedge in Q1. Good conversion, we're very pleased with that conversion of sales dollars down to gross profit drove a gross margin of just shy of 29% for the quarter. We're pleased with that. Let me talk about the cost side. Obviously it's a key issue for the industry and for us as well, $14 million of net increased cost for the quarter. Let me talk about those a little bit. Half of that was due simply to the increase in the LME, so $7 million due to the increase in the metal price, about $5 million of which was due to our alumina contracts at Mt. Holly and Ravenswood, and $2 million due to our Iceland power contract. Preceding, a couple more items in the cost of sales area. Raw materials, obviously, a large cost item for us, were up $2 million, Q2 over Q1. But as we look at our forecast for Q3 over Q2, we see about a $6 million to $7 million increase quarterly, obviously, Q3 over Q2. And that's almost entirely as you would expect, for carbon based products. I'll give you a bit more detail there. About two-thirds of that $6 million to $7 million increase Q3 over Q2 will be an increase in the cost of the finished anodes that we import for Iceland, and the other third primarily for coke in the US, obviously, that we use to make our own anodes at our smelters in the United States. Another major cost of sales item obviously is electrical power in the US. That was up $1 million Q2 over Q1, obviously not much of an increase. But same issue there, as we look out and forecast for Q3 and Q4, we see the Q3 costs rising about $6 million to $8 million versus Q2. So, Electrical power $6 million to $8 million greater in Q3 than we just reported in Q2. Let me give you a bit more detail there. Three items obviously, three smelters. Ravenswood first, as Wayne described, a cost increase, tariff increase in Ravenswood, instituted on July the 1st, of 11%. That will add $2 million to $3 million on a quarterly basis, Q3 over Q2. Mt. Holly, the forecast with which we're working right now shows an increase of about $1 million to $2 million, Q3 over Q2 again. And Hawesville, as Wayne said, unpriced portion of the power there until we get the unwind with Big Rivers completed; based on spot electricity prices in that region of the country, we're looking at about a $3 million increase, Q3 over Q2. So again, the total is $6 million to $8 million electrical power, Q3 over Q2. Last major cost item, getting back to Q2 now, is the cost of the Gramercy alumina, which obviously goes into Hawesville's cost of sales. That material was up in cost $6 million, Q2 over Q1. As you would expect, the majority of that, about two-thirds of that, a little more than two-thirds of that was from increase in natural gas costs. Okay, continuing down the income statement. SG&A you can see $14 million for the quarter. Loss on forward contracts $204 million for the quarter. As Logan detailed, the forward screen not only increased but steepened during the quarter with a 2013 strip, up 7% from the end of March through the end of June. Effective tax rate, about 23% for the quarter, again, that excludes, as we always do, the loss on forward contracts line, the mark to market charge. And we think that something in the mid-20s is the right rate to use for the balance of 2008. Obviously, that rate, as it always is, is heavily dependent on our projections for the full year mix between Iceland and US taxable income. That tax rate excludes a couple of discreet tax items that we noted in the earnings release, as you've probably seen, aggregating to about $15 million in a one-time tax benefit, the largest of which was a reduction in the Iceland corporate tax rate from 18 % to 15%. That's retroactive to the 1st of this year. That constituted $10 million of that $15 million in one-time tax items. Obviously, that will have an ongoing benefit to the company going forward. All of our taxable income of course in Iceland now being taxed at 15%, but this one-time item that we've culled out is simply the restating of our deferred tax liabilities in Iceland at that lower rate, which produces a one-time benefit. That's obviously why we've identified it as a one-time item. Other items in that $15 million are the finalization of our IRS settlement regarding the power contract in Kentucky. Obviously, we inherited that when we bought Hawesville, some time ago. That was settled for about $3 million, favorable to where we had it on our books. And then lastly, a $2 million item from a favorable tax situation in Jamaica at St. Ann's. That's our portion of it, of course. Lastly on the income statement, earnings per share, excluding the mark to market charge and those tax items about which I just spoke, $2.72 per basic share, and that's 41.1 million basic shares, as you've seen. And on a diluted share basis $2.51, that's based on 44.6 million diluted shares. Okay, if we could turn to slide 15 now, just a quick couple of details on cash flow. We're pleased with the cash flow performance this quarter, $71 million of free cash flow. As you can see, and as we noted it in the earnings release, that's after $63 million pre-tax, of course, derivative hedge settlements during the quarter $40 million after-tax, as you can see on the chart here. I would also note, if you've had a chance to look at the cash flow data in the financial information, the free cash flow performance was also after a $24 million use of cash during the quarter for working capital, principally inventory, obviously to be expected in a quarter where the aluminum price is rising throughout the quarter. A couple of more items on cash flow, while you're looking at the cash flow data. Capital expenditures, Wayne talked about Helguvik, we spent an additional $25 million on the project during the quarter. That brings the year-to-date, six-months, to $33 million. As Wayne said, we are absolutely on schedule on the project, from a project execution standpoint. When we looked at the balance of committed funds versus the actual cash that we're going to spend this year, we believe at this point that we're going to spend closer to about $150 million of actual cash CapEx in '08, versus our former estimate of $200 million. Again, when you look at the funds that we've committed plus the funds we're going spend, as Wayne said, we're right on track. But the spending is going to be a little bit lighter this year than we had previously forecast. Other CapEx, as you can see, $6 million for the quarter, $15 million for the six months, versus the '08 budget of $75 million. We think we're still on track to spend pretty close to that $75 million, if not the entire amount. Lastly, just one other item I'd draw your attention to in the cash flow data. You'll see the investment in joint ventures, $28 million during the quarter. That's obviously our investment in BHH, that's the Chinese anode plant. We actually in mid-July, made the last $9 million payment there, so you'll see that in the third quarter financial statement. Just to give you an advance note on that, we made it in the form of a loan, so that $9 million will actually be up in operating cash flow in Q3, rather than investing cash flows it was in Q2. Moving along to slide 16. Obviously, we've talked at length about the termination transaction over the last couple of weeks, so I'll just hit the high points here and then obviously we can take questions. We settled just under 1.3 million tons is what we have remaining on the books of fixed price forward aluminum sales through 2015. The value of the settlement on the day at which we signed the agreement on July the 7th, based on the closing stock price of Century on that date, was just slightly over $1.7 billion, of which just slightly under $1 billion was in the form of preferred stock, basically a non-voting common stock that has significant transfer restrictions attached to it. We've now made the July payment for the June volumes, $21 million. And so, with that payment we have no further obligations under those former hedges. Turning to slide 17. Just a couple of comments on the accounting treatment for the transaction. Obviously, given that we settled it at the end of the first week in July, this will be a Q3 item, and you don't see any of the accounting for it as you look at the Q2 financial statements. Obviously, the liability is still on our books at June the 30th. As we discussed before, the liability at a 7.5% discount rate was $1.832 billion on the day that we settled, July 7th. And again that $1.709 billion settlement value based on Century's common stock on that day; against that liability value will produce a gain, against which approximately $10 million to $15 million, that's the current estimate of fees, will go against. We're still researching the accounting here. There is a good chance that actually the value of the preferred stock will go on our books at a slight discount to that stated value, stated value being based on the Century common stock on the day of the settlement, based on its non-voting provisions and other provisions of it. And so, the gain might be a little bit higher than you would know, just looking at the numbers on this page. Accounting for the preferred stock or the underlying common stock is pretty simple going forward. 16 million common equivalent shares will be included in both basic and diluted shares as of the 7th of July. And just to remind you, one other item, that loss on forward contracts line doesn't go away entirely. Obviously, the vast, vast majority of it historically has been the fair valuing of that hedge book, but we do have some sales, principally sales contracts, pieces of which still are accounted for as derivatives. So, in any given quarter, you might see $1 million, maybe as high as $2 million per quarter, either gain or loss, as we properly account for those contracts as derivatives. If you turn to slide 18, please. Just a quick note about the tax treatment of the unwind. On a book basis, there's no change. As I noted before, we've always talked about the effective tax rate excluding the mark to market of the hedge book, so that mid-20s doesn't change. From a cash standpoint, we have generated a tax loss that will be somewhere between $1.7 billion to $1.8 billion. Obviously we'll use that to reduce taxable income going forward. The limitation in the use of that is basically based upon, under IRS regs, based upon what the cash settlement of the hedges would have been before we settled them. So just to give you an example, as you may recall, when we announced the unwind transaction, on that date, based on the forward screen on that date, the hedge settlements would have been about $340 million in 2009. So based on these IRS regs in that case we'd be able to use about $340 million of the tax loss to reduce taxable income in '09. And it keeps going like that for the period through 2015. If there is additional loss remaining after 2015, we don't lose it; we just continue to use it after that point, per normal IRS regulations. Turning to slide 19, just to finish out here. Obviously, since we announced the unwind or repriced our common stock offering, including the Greenshoe [ph] just shy of 7.5 million shares, $442 million in net proceeds, which obviously has gone to largely repay the $505 million short-term note. The balance of that note obviously will be repaid out of cash flow during the next couple of months. And with that, I'll turn it back to Logan.
Logan W. Kruger - President, Chief Executive Officer: Thanks Mike. We continue to be positive on the aluminum fundamentals. The Helguvik groundbreaking and the start of the project execution is very pleasing for us. It's on time and remains on budget. Capital projects in the US for incremental production are being implemented and we expect the results to come through in the next couple of years. Our investment in the anode capacity in China has been good for us and we believe it's a long-term strategic hedge against supply of anodes to our important facilities in Iceland. The Jamaica refinery project progressed to a full feasibility study. In addition, we continue to pursue our global project pipeline. At this stage, I'd like to invite questions from those who'd like to offer. Thank you. Question-and-Answer Session
Operator: [Operator Instructions] Our first question from the line of Kuni Chen with Banc of America.
Kuni Chen - Banc of America Securities: Hi, good afternoon everybody.
Logan W. Kruger - President, Chief Executive Officer: Hi, Kuni.
Wayne R. Hale - Executive Vice President and Chief Operating Officer: HI, Kuni.
Kuni Chen - Banc of America Securities: How are you?
Logan W. Kruger - President, Chief Executive Officer: Fine.
Kuni Chen - Banc of America Securities: Just first question, obviously the group as a whole has been under some pressure in recent weeks and sentiment has been a bit negative. What are your thoughts on what may happen in China, post the Olympics? Any views on the potential for some deceleration in the back half of the year and into 2009, as far as China's consumption of aluminum?
Logan W. Kruger - President, Chief Executive Officer: It's an interesting question. I think that's part of what the concerns are, generally going around the market, Kuni. I don't think that we can see any deceleration. The key issues for us that we see on the alumina demand is consumption and that seems to be growing. But more importantly, the implementation of the growth of the infrastructure and that continues at a pace. That's not Beijing centric. That continues to be outside in more areas that are less developed. And the third level or the third phase of infrastructure development continues to be there. And I think the real testing question is what is personal consumption going to be like in China over the next couple of years? And the indication, if you look at the intensity of use, we didn't have that in our slides today. If China continues on the path that we've seen over the last five years or so, it gets halfway through what the US is, Kuni. You know, that's going to cause another 10 million tons of aluminum metal required just for China alone.
Kuni Chen - Banc of America Securities: Right. Okay, that's good, that's helpful. One other question and I'll turn it over, and this is just more of a generic question on acquisitions or potential acquisitions. If, hypothetically, there was a single smelter operation somewhere in the world that was available for sale, assuming it had a stable long-term power contract, among, say it's a second quartile cost curve type operation, would you look at this as kind of purely a financial decision or is there also a strategic component to your decision making, where you might look to avoid certain regions, like let's say the US or Europe? I just want to get your general thoughts on that.
Logan W. Kruger - President, Chief Executive Officer: Kuni, I'm glad the way you phrased it, because we don't comment on specifics, but let's take your hypothetical question. I mean, you know we've got a disciplined approach to this. We look if it makes industrial logic, so the first part will be where is this? Does it fit with our business? Is it in a region in the world that could be attractive to us? And I must note at this point that our US assets have obviously changed in their level of attractiveness, as you will know; erosion of currency and obviously less rapid increase on power pricing. Then we want to know, can we make money on that hypothetical example, can see get a risk adjusted cash flow return on it? We obviously would look at financing it. And the last question, Kuni, is can we add as a team, add any more value to that in fitting it in our business? And lastly, we just would look at anything, but it will have to go through that screening process. We're pretty efficient at doing that. And if it goes through that screening process then it will get more attention as it may go forward. But let's leave it as a hypothetical question. I don't know if Mike or Wayne have got any further comments. Thanks, Kuni.
Kuni Chen - Banc of America Securities: Okay. Thanks guys.
Wayne R. Hale - Executive Vice President and Chief Operating Officer: Thanks, Kuni.
Michael A. Bless - Executive Vice President and Chief Financial Officer: Thanks, Kuni.
Operator: Next from the line of David Lipschitz with Merrill Lynch. Go ahead sir.
David Lipschitz - Merrill Lynch: Hi, everyone.
Logan W. Kruger - President, Chief Executive Officer: Hi, David.
David Lipschitz - Merrill Lynch: Quick question for you. In terms of you said that your realization was up 15%, that the LME was up 17%, why would that be, what happened that you weren't up as much as the LME?
Michael A. Bless - Executive Vice President and Chief Financial Officer: David, I don't know offhand. And so I'd have to prove that out, I'd have to look through it. My off the cuff guess is the impacts of the small amount of cash flow hedges still in January. I'd have to prove that out, but I think that's probably a reasonably good guess, because obviously we had 9,000 tons in Q1 that wasn't subject to market pricing.
David Lipschitz - Merrill Lynch: I know, but you said that was on line 1717, you said without that it was 15. We can talk off line about that.
Michael A. Bless - Executive Vice President and Chief Financial Officer: Okay.
David Lipschitz - Merrill Lynch: My second question, I don't know if I missed it, you said first to second quarter production was pretty much flat, is that correct?
Michael A. Bless - Executive Vice President and Chief Financial Officer: Correct.
Logan W. Kruger - President, Chief Executive Officer: Hot metal production, David, was spot on. The smelters, domestically US based are all operating above capacity. We gained about 1,500 tons of inventory which as you know for us is pretty small, and that's just a timing issue of the quarter. I don't know if Wayne has got any other…?
Wayne R. Hale - Executive Vice President and Chief Operating Officer: No, I think you hit it.
David Lipschitz - Merrill Lynch: Okay, the first, it's the window in inventory.
Logan W. Kruger - President, Chief Executive Officer: Exactly right.
David Lipschitz - Merrill Lynch: Okay. And my third and final question is what is your fully diluted share count right now going forward? Let's say we're starting 2009 and everything, what would be your fully diluted share count?
Michael A. Bless - Executive Vice President and Chief Financial Officer: Let me build it up for you, David, rather than answer it, because the fully diluted or the diluted question obviously depends on the stock price that you need to know and calculate any dilution from the convert. But let me give you all the shares. So we had just over 41 basic shares exiting the quarter. Then you add to that 16 million underlying shares from the preferred in the unwind transaction, add to that 7.475 million shares, including the shoe in the offering, and then add to that the convert. Now the total notional shares in the convert of course are 5.7 million. From an accounting standpoint, when you calculate diluted shares, obviously not all those shares are outstanding based on the way that you do your accounting for the diluted shares. This quarter it was an additional 3.5ish million shares from total diluted shares, most of that was from the convert, some of the rest of it was from options and performance shares.
David Lipschitz - Merrill Lynch: Okay. That's it. Thank you.
Michael A. Bless - Executive Vice President and Chief Financial Officer: Okay, David.
Logan W. Kruger - President, Chief Executive Officer: Thanks, David.
Operator: Thank you. Next from the line of Brett Levy with Jefferies. Go ahead.
Brett Levy - Jefferies: Hi, guys. You guys are going to be an 800 million EBITDA a year company very soon. You're a consolidator. You've got lots of free cash flow. Talk about your growth strategy, your acquisition strategy.
Logan W. Kruger - President, Chief Executive Officer: Thanks for the question. It's Logan, and I'll ask Mike and Wayne to comment as well. I think we don't distinguish between any points of the growth strategy, but we can tell you we have got a well planned project development and that starts off with Iceland with the Helguvik project. The first phase comes on towards the end of 2010, at about 180,000 tons, and has the potential with the technology to go to a full 360,000 ton potline, and that's dependent on the delivery of geothermal parts. In addition, we're developing our project in Jamaica with our partners, China Minmetals, and that also goes to feasibility now. By the end of 2009, it comes to the floor for a decision and we feel very confident of that project. It's looking good. It's gone through the conceptual stage. We've got the right support; the resources seem to be there, so we're happy about that. In addition, we obviously continue to look at additional projects. We bought into an anode facility in China. We're very pleased about that, with tens of millions of contributions. And in addition to that, we're also adding on some incremental capacity and capital in our existing facilities, including Grundartangi in Iceland and our US smelters. So in a nutshell that's it. Other pieces as was brought earlier by Kuni, would we look at other opportunities? The answer is very definitely, yes, but that's got to meet the criteria that makes a sensible investment for us and the shareholders. Mike, can you comment?
Michael A. Bless - Executive Vice President and Chief Financial Officer: I guess the only further comment I would add is the obvious one. We've talked about this before and it's not specific to Century, obviously. There's not a lot of M&A per se in the sector, as we all know, or those of you who follow the sector specifically. There are just not a lot of assets either for sale or that eventually become bought and sold, and so to Logan's point, most of the growth in this industry is either by way of greenfield projects, major brownfield projects, capacity creep high return projects, quick paybacks like we're doing in the US and at Grundartangi. But those assets that do come on the market or that might be available; we look at every single one.
Brett Levy - Jefferies: And to reiterate the former analyst's question, is the US completely off the spectrum in terms of things you'll consider?
Logan W. Kruger - President, Chief Executive Officer: I'll try and recap what I said to Kuni, maybe it was missed inside of some of the discussion. Our existing US assets in terms of their cost position, have improved for two major reasons. One is the erosion of the US currency, and two the less dramatic increases or less step function increases for the power supply. So, we would not restrict ourselves to any area of the world. We'd look at it on a risk basis. And so we're not restricting it to the US or anywhere else. There are few places in the world and we don't need to name them today, but that politically won't be a sensible place for us to go, so we'd avoid those. But otherwise, I think we leave them up and we risk adjust as we see fit for the area where a project or whatever circumstance may arise.
Brett Levy - Jefferies: And the last question is it seems like alumina is a little over-supplied right now and bauxite is a question mark. Would you make a big acquisition in bauxite?
Logan W. Kruger - President, Chief Executive Officer: Yes, I think we've always said that as part of our strategy we would go upstream. So, we've got ourselves into what we think is an attractive project in Jamaica with China Minmetals, and the first stage of that would be a refinery producing alumina at some point in the future as the project proceeds, of 1.5 million tons. We've also just note that the upstream or bauxite alumina businesses have quite an attractive return, so we continue to look at that. So, we've already got one in place and continue to look at more. But just on the pricing of alumina worldwide, I think it depends on where you are in the world. The Pacific Basin seems to have more accessible supply at this stage than the Atlantic Basin, so you have to think about freight and freight differentials affecting the pricing in those two areas.
Brett Levy - Jefferies: All right. Thanks, guys.
Logan W. Kruger - President, Chief Executive Officer: Thank you very much.
Operator: Thank you. And next from the line of Terence Ortslan with TSO & Associates. Go ahead, sir.
Terence Ortslan - TSO & Associates: Thanks. Just on the Helguvik smelter, you are now at approximately 32% for the engineering and 20% for procurement. The way it's advancing, where are you going to be towards the end of the year, let's say, number one? And number two is that, how much of the contingency has already happened in the sense of progress here and how much is the contingency in the project?
Logan W. Kruger - President, Chief Executive Officer: Terence, its Logan. I'll let Wayne give you a rundown and then I'll answer some additional at the end.
Wayne R. Hale - Executive Vice President and Chief Operating Officer: If I understood your question correctly, how we worked into the contingency yet, there has been no contingency spent on the project yet. So as I said earlier, we're very pleased with the present progress in both schedule and cost.
Logan W. Kruger - President, Chief Executive Officer: I think the two other things; Mike mentioned that we will have spent cash of about $150 million by the year-end. It's a little bit less than we expected it would be, beginning of the year, but we're not concerned about it. Our commitments are way above that. So, we went in the first quarter, as you know and beginning of the second quarter and went and spent time and effort securing long lead-time items like rectifiers and other things that are very key for a smelter. On the procurement side, just a corrective, of the 160-plus packages, about 40 of those are going to be placed or already have been placed. So, we're well up maybe just over 20%. And that's pretty good progress, I think for a project at this stage. The challenge remains, of course, Terry, as you know, how do you handle the cost pressures and we're very focused on that. One advantage of course is we've just recently completed a major brownfield expansion at Grundartangi. So, we've got a good sense of what the local costs have done. There's also been a favorable impact recently and we'll see how that loss of the Icelandic krona, about 30% to 40% of the project expenses will probably occur in Icelandic krona.
Terence Ortslan - TSO & Associates: I was just at a previous conference call in our sector. What they've done is they assumed that as the process into the final turnkey is kind of like 40% increase in the cost so they kind of budgeted for that. And it's a similar timeline as yours, which just kind of amazes me, because it's kind of surprising [inaudible] that and assuming 40% in a capital intensive sector seems to be a norm nowadays from the point of view go to final construction delivery.
Logan W. Kruger - President, Chief Executive Officer: Terry, we've just come through a major program which was on budget and on schedule. We've taken escalation into consideration. We don't comment on what other projects you're seeing. We know that there are the challenges. Our experience so far is good. But we recognize that that's going to be the challenge for us. I mean, for the full 360,000 ton smelter, our capital estimate for that is about $5,100 to $5,300 per ton, but the first phase, the 180,000 ton is front-end loaded with some major equipment. So, that's about $6,500 per ton. And we're in an area where the economy slowed down a little bit. Obviously, the exchange rate is a little bit more favorable and we've just come off doing something like this with a very established team. So, those advantages hopefully we can continue to leverage in this project.
Terence Ortslan - TSO & Associates: One other question, Logan. I always get hung up on your chart on this Chinese fourth quartile cost curve. The fourth quartile cost cut off from 2005 to 2007, how much did it change that it's shifting in so much into 78%?
Logan W. Kruger - President, Chief Executive Officer: Terry, this is actually I think a percentage of production. I don't think it's a cost thing. I'm just looking at Shelly.
Shelly Lair - Vice President and Treasurer: It's just production.
Logan W. Kruger - President, Chief Executive Officer: So the point that we're trying to make on that slide, and I'll embellish a bit on it, is that most of the new production capacity in the fourth quartile has come from China, so they're now 75%, approximately, of the fourth quartile of producers of metal in the world. In addition, we know reasonably well that the top 10%, the top decile of the Chinese producers in China are operating at a cash cost, as I mentioned in my earlier remarks, of around $2,900 per ton. So, the point is, most of the new production in the fourth quartile is Chinese, and there is a fairly high percentage of them that are already at $2,900 per ton of cash operating cost.
Terence Ortslan - TSO & Associates: Very strong message, Logan, very strong message. Thank you.
Logan W. Kruger - President, Chief Executive Officer: Thanks, Terry.
Operator: Thank you. And next from the line of Oscar Cabrera with Goldman Sachs.
Oscar Cabrera - Goldman Sachs: Good afternoon, everybody. Oscar Cabrera with Goldman Sachs. The first question is, Logan, you answer one of my questions; your alumina joint venture with Minmetals is going to be 1.5 million tons.
Logan W. Kruger - President, Chief Executive Officer: You're right.
Oscar Cabrera - Goldman Sachs: Are there plans to increase that number and do you have enough bauxite reserves?
Logan W. Kruger - President, Chief Executive Officer: Yes. I can tell you that obviously we would look to expand that. We are working on the resources to convert them to reserves. We know the area. It's adjacent to our St. Ann's property, so we do know the area. And Giulio Casello, our Head of Business Development has just recently been there. So obviously, we have that in mind, Oscar. It's too early for us to say. We'd prefer to get the first piece done. That's the tradition and the way we work at Century, and then we'll tackle the next piece after that. So, we don't want to get ahead of ourselves, but we like the project, we like the place it is. It's good quality bauxite. We know how it behaves. And we're enjoying having the Chinese as a partner, because they'll bring construction expertise and engineering expertise at a competitive price in this world of building capital projects.
Oscar Cabrera - Goldman Sachs: Okay. Because I mean that's just a follow-up on that. The arrangement of the joint venture as you have it, do they have off-take?
Logan W. Kruger - President, Chief Executive Officer: Yes. I think the natural thing in these joint venture agreements is both partners can do two things; take their piece of the action or they off-take and go and do what they like with it or combine and market it through a combined marketing group. I think the natural odds with both partners would likely take their own off-take, and I think that's the preferred arrangement.
Oscar Cabrera - Goldman Sachs: Okay. It just goes to the last part of the question, which is, from an integration perspective, is your team's preference to be fully integrated or you don't mind being long alumina?
Logan W. Kruger - President, Chief Executive Officer: We don't mind being long or short. The only question we ask on the alumina or the upstream side is it making money in global terms? So even though Gramercy supplies all sort of leads, we still test Gramercy's cost against the market to see how that will impact our business. So the decision to go upstream is not driven by the wish to be integrated, it's driven by this is a great project, it's upstream, it's got good margins, we like the look of it, it's in an area, we like the partnership. It's a good project. If we had nothing else on our books, we would do this project because it makes a lot of sense to our shareholders. And the fact that it will give us a position in the market of alumina towards our supply in the smelting side is good, but that is a freight debate, where you will swap out freight differentials for delivery. So, it doesn't drive us to be integrated. We'd prefer not to use that, because I think that hides a few things on both sides.
Oscar Cabrera - Goldman Sachs: Okay, thanks very much.
Logan W. Kruger - President, Chief Executive Officer: Thanks, Oscar.
Operator: Thank you. And next from the line of David Gagliano with Credit Suisse. Please go ahead.
David Gagliano - Credit Suisse: I just have a quick question, Mike, just to clarify the commentary on the near-term costs. The combined sequential cost increases for raw material and energy, I think you said it was a total of $12 million to $15 million incremental, Q3 versus Q2, or is that spread over between…?
Michael A. Bless - Executive Vice President and Chief Financial Officer: No, that's Q3 versus Q2.
David Gagliano - Credit Suisse: Okay, that's what I needed to know. And then just as a follow-up, how sensitive is that? Are those numbers on the energy side and the natural gas prices for example and what in that gas price are you assuming?
Michael A. Bless - Executive Vice President and Chief Financial Officer: I mean, those two are just electrical power and raw materials, basically carve in. We looked at all our raw materials and the contract prices in the forecast and the rest of the raw materials aren't showing very much increase, if any at all. And so it really is carve in. I think if I could rephrase your question, the sensitivity to really the refinery product complex is what you're talking about. And to a certain extent, the merchant market or third-party market for anodes, because that's a reasonably thin market, subject to some volatility. But basically, our contracts have a fixed price element and an element that references basically at the end of the day, oil prices. And so, we know what the pricing is for Q3 right now, based on where oil has been. To the extent that that kind of eased off a little bit, we could see some positive comparisons in Q4. Don't know. On the electrical power side, I think in terms of Ravenswood, that structural increase is here to stay. Hawesville, that as I said, is somewhat temporal. That will go away or the unpriced element will go away when we get the Big Rivers unwind done by the end of the year, as Wayne detailed. And as we've said before, on Mt. Holly, it's really a quarter-to-quarter thing. We work with their forecast, we diligence them, we ask a lot of questions, we understand the best we can. Obviously coal prices are the major determinant there. So that's kind of a rambling answer, David, to your question. But nat gas is really a separate issue for us. That's really embedded in the Gramercy increased costs, Q2 over Q1, about which I talked. $4 million of that $6 million was nat gas. And obviously as you remember, we came in somewhat hedged, came to be somewhat hedged, but not largely hedged. So, we saw the brunt of the market increases in that gas, Q2 over Q1. To the extent that that continues to ease, maybe we'll have some good news there as well. Too early to tell.
David Gagliano - Credit Suisse: Okay, perfect. Thanks a lot, Appreciate it.
Logan W. Kruger - President, Chief Executive Officer: I think, David, just last comment. David?
David Gagliano - Credit Suisse: Yes, I'm still here.
Logan W. Kruger - President, Chief Executive Officer: We wanted to obviously reflect what was going on in the market, so that's why we gave you these numbers.
David Gagliano - Credit Suisse: Very helpful, I appreciate it. Thanks.
Logan W. Kruger - President, Chief Executive Officer: Thanks, David.
Operator: Thank you. And our next question from the line of Marty Pollack with NWQ Investment Management. Go ahead.
Martin Pollack - NWQ Investment Management: Just wondered if you might talk about risk mitigation? Obviously, in a sense you've got a fairly nice price environment, the forward curve is attractive and you've just unwound your forward curve. But is that potentially still one way you might address risk in the future? One of the forecasts that I've seen at Citigroup, I think, is talking about $2.00 aluminum price. Is there a price where you would say hey, this is a good place to do it?
Logan W. Kruger - President, Chief Executive Officer: Marty, it's Logan. Mike probably will comment as well. We like being fully exposed to the market. And we don't have any views on taking a position on risk mitigation going forward. I presume you're saying selling forward, and we don't. Obviously, it would be remiss of us not to look at this on occasion, but I must emphasize, we like being leveraged to this market. We like what the market's telling us. We like the fact that the fundamentals are sound, the supply side is constrained. In previous slides, Shelly produced a thing that shows that just reasonable growth, you're going to need 44 new smelters in 2012, each one of 360,000 tons. And we've just had two cancellations of major new projects in the last three or four months, including one today. So, I think we like our position, but to be fair, we would always look at this. We don't have any view because you have to answer the question is what is going to happen to the cost as well. And you have to take that into consideration. Mike?
Michael A. Bless - Executive Vice President and Chief Financial Officer: Yes, Marty, just one further comment. As we said when we announced the unwind a couple of weeks ago and then talked about it, it's our view today that we ought to be unhedged, generally, and that is what the majority of investors in the sector are seeking, and that they believe that they need some kind of protection they can create that position themselves. The important difference from a couple of years ago, of course, when you talk about risk mitigation, absolutely appropriately in my opinion, is that when we put on this major position a couple of years ago, it was indeed risk mitigation. We had just made an acquisition and had a major project, i.e. the eventual tripling in size of that plant, for which we needed some cover in order to mitigate market risk to go get that project done. And today, obviously, the company is in a much different position in terms of the diversity of the assets, the cost competitiveness of those assets, and just in terms of financial strength. And so, that to us as managers is a key difference of today versus then.
Martin Pollack - NWQ Investment Management: Okay. Thank you.
Michael A. Bless - Executive Vice President and Chief Financial Officer: Thanks, Marty.
Logan W. Kruger - President, Chief Executive Officer: Thanks, Marty.
Operator: Next from the line of Sam Martini with Cobalt Capital. Please go ahead.
Sam Martini - Cobalt Capital Management: Hi, guys.
Michael A. Bless - Executive Vice President and Chief Financial Officer: Hi, Sam.
Logan W. Kruger - President, Chief Executive Officer: Hi, Sam.
Sam Martini - Cobalt Capital Management: Just a clarification on the cost side. The $15 million in costs, Mike, that's US alone?
Michael A. Bless - Executive Vice President and Chief Financial Officer: No. On the power side, Sam, I was just commenting on electrical power for the US. Of course, Iceland varies based on the LME. So to answer your question on the power side is, yes. On the raw material side, no, it's global. As I said, about two-thirds of that, you know, the $6 million to $7 million carbon piece, two-thirds of that is finished anodes for Iceland.
Sam Martini - Cobalt Capital Management: And how much, Mike, did anode go up across the complex in Q2 versus Q1?
Michael A. Bless - Executive Vice President and Chief Financial Officer: Across the complex, again, is only Iceland, because we make our own anodes, we buy our own carbon, buy our own pitch and bake our own anodes in the smelters in the US. But in Iceland it was only up for the whole complex. I'm sorry. I will answer your question. Only up $2 million carbon, Q2 over Q1, $2 million bucks.
Sam Martini -Cobalt Capital Management: That seems pretty terrific. I guess a question, Logan, maybe this is for you. If you look at the costs that Mike laid out and the power in the US, and the coke in the US, and the anode generally in Iceland, and some of the other considerations that we're all watching on the more upstream side of the equation, you talk about China and you talk about liking your position, maybe qualitatively, maybe with some numbers you choose, can you talk about how you're seeing specifically Western Europe and Chinese costs in relation to your own? How do you envision their costs changing as you watch what's going on in your business? What do you think is happening in their business and can you talk about your competitive position, as you watch what you're seeing on your competitors' side in the differing geographies, again, specifically Western Europe and China?
Logan W. Kruger - President, Chief Executive Officer: I don't want to comment on the competitors, but I'll deal with the regional diversification or the regional areas. I think our US smelters have appreciated in position on the cost competitive curve. For example, Ravenswood maybe has come out of the fourth quartile and down into the third quartile. Obviously, you can then assume that Mt. Holly and Hawesville have relatively improved their position as well. Iceland has perhaps gotten a little bit more expensive, but they're still good and we've got the volumes up there and mainly that's driven by the power being LME linked.
Sam Martini - Cobalt Capital Management: Maybe Logan, you said Ravenswood is up 11% as of July 1. What do you think of Western European smelters going to be up for Q3?
Logan W. Kruger - President, Chief Executive Officer: I think you'll just have to take a simple currency thing and do what's happened to the euro versus the US dollar over the last 12 months, and the fact that a lot of those contracts in the European smelters, Sam, are very short-term, subject to revision, and you look at the electrical or power pricing index in Europe and you can project I think numbers that will make that 11% seem quite reasonable. I think in China there are two or three things that will happen. One is the price of coal and the availability has got to a point where the electrical or power providers cannot make a margin, because the price of coal and the price they're getting for their power are just not making it. So a number of them have actually walked away from generation. So, I think taking that and perhaps the movement in currencies continually, I think China, probably the currency will grow in strength overtime. I think the positions are going to be quite interesting to see. The top 10% cost producers in both Europe and China are around about $2,900 a ton.
Sam Martini - Cobalt Capital Management: And that was at June 30 or that is pro forma this last move in coal?
Logan W. Kruger - President, Chief Executive Officer: You can take it to--let's assume it's a year-end. These are directional numbers, but I think they're pretty well researched by a number of people. And then you now have to apply what escalation you would like to put in Europe for carbon products, parts, labor or whatever, and then do the same in China. I don't think people are avoiding these costs, unless you do what Wayne and his team are doing and improve your utilization and come up with alternatives. So, I think in summary, we like the improvement of our position in the USA in terms of cost, but we want to now maximize our opportunity by bringing on some incremental throughput in all our operations in the US. And you're aware of that. We've spoken quite extensively about it.
Sam Martini - Cobalt Capital Management: Okay. And on the anode side, just a question on the Chinese anode. You are receiving products from them right now or is that still on the come?
Logan W. Kruger - President, Chief Executive Officer: I think Wayne's got some good news on that. Would you like to comment?
Wayne R. Hale - Executive Vice President and Chief Operating Officer: Yes. We just had a recent report from Grundartangi of good excellent performance of these anodes in the smelter, so we are using them in Grundartangi and they are performing excellent.
Operator:
Sam Martini - Cobalt Capital Management: Thanks so much.
Logan W. Kruger - President, Chief Executive Officer: Thanks, Sam.
Wayne R. Hale - Executive Vice President and Chief Operating Officer: Thanks, Sam.
Operator: [Operator Instructions] Our next question is from the line of David Lipschitz with Merrill Lynch. Go ahead please.
David Lipschitz - Merrill Lynch: Yeah, just a quick follow-up. The power contracts in Iceland, is that on a one-month lag or is that on just a quarter basis?
Michael A. Bless - Executive Vice President and Chief Financial Officer: On a current basis, yes.
David Lipschitz - Merrill Lynch: Okay. And secondly, have you had talks about the new Iceland smelter in terms of how you're going to put it--is it going to be toll blending, is it going to be just normal smelter? How are you going to structure that?
Logan W. Kruger - President, Chief Executive Officer: It's too early, 2010 is some time off, but we like the tolling arrangements. It's whether we can actually find, David, a similar toll that will be as attractive as the present ones, compared to what the market is. But early, we're looking at both options at this stage.
David Lipschitz - Merrill Lynch: Okay, thank you.
Logan W. Kruger - President, Chief Executive Officer: Thanks, David.
Operator: Thank you. And from the line of Tony Rizzuto with Dahlman Rose. Go ahead.
Anthony Rizzuto - Dahlman Rose & Company: Thanks, gentlemen.
Logan W. Kruger - President, Chief Executive Officer and Director: Hi, Tony.
Anthony Rizzuto - Dahlman Rose & Company: How are you doing? My questions have actually been answered. I appreciate it.
Operator: We have no further questions at this time. Please continue.
Logan W. Kruger - President, Chief Executive Officer: Well, thank you very much everyone, for taking the time to listen to our call today. We look forward to speaking to you again soon. Thank you very much and goodbye.
Logan W. Kruger - President, Chief Executive Officer and Director: Thanks, Tony.
Michael A. Bless - Executive Vice President and Chief Financial Officer: Thanks, Tony.
Shelly Lair - Vice President and Treasurer - Vice President and Treasurer: Bob, any further questions?
Operator: There are no further questions at this time. Please continue.
Logan W. Kruger - President, Chief Executive Officer and Director: Well, thank you very much everyone for taking the time to listen to our call today. We look forward to speaking to you again soon. Thank you very much and good-bye.
Operator: Thank you. And folks, that does complete your conference for today. Thanks for your participation and you can now disconnect.